Magnus Grenfeldt: Good morning, and welcome to Oslo and Hotel Continental. We are here to report Smartoptics' Q3 financials.â€¯  We have been doing this. This is our 18th quarterly report. It is the first one as a listed company on the Oslo Stock Exchange. So I'd like to welcome all new friends, shareholders, and followers to this session. Through this period of 18 quarterly reports, we have more or less been talking about the opportunity that we are living in right now. Our story has never really changed dramatically. The opportunity has been there, and we have executed according to our business plan to reach our targets, and that is the intention to continue with.â€¯  So today, of course, starting off like we always do with some highlights of the quarter. It is a remarkable report in all aspects. So I'm going to let the numbers speak a little bit for themselves here and try to focus on what I believe are the key things in this report. So starting off on the customer end, and our market, and what kind of business we are doing. And I think if we roll back time 3 or 4 quarters, I was talking about an emerging market related to AI infrastructure and the AI boom that all of you read about every day, and see on TV probably every day.â€¯  Back then, I was talking about AI potentially driving our business with a certain certainty from a number of perspectives. Number one, being another contributor to the ever-growing demand for bandwidth that has always been there, and that is foreseen to always be there. For us, being a supplier of high-capacity transport of data, it doesn't really matter what grows. Of course, some elements in the market are growing quicker than others, and that's important to understand, to acknowledge, and to develop our products to suit those segments. But in general, whatever grows when it comes to bandwidth, it's good for us.â€¯  So that was number one when I talked about this 9 months ago or a year ago, the ever-growing demand from bandwidth, having a new best buddy called AI. The other thing that I talked about was much like any other compute technology that we have seen over a very long time, it starts off in a data center. The majority of the transactions in any clustered data computer environment goes on within one data center. And sooner or later, you will come to a point where you need to distribute your infrastructure.â€¯  I foresaw that, that's going to happen with AI, too. And I think today, we have proof points that it has happened and it will continue to happen from now on. And that's important for us because the majority of our business that we do is to connect data centers with each other. And as AI grows out of one data center and all of a sudden sits in several data centers in a city like Oslo or any other city, that is very, very good for us.â€¯  We have secured orders for these particular applications. And we have seen how NVIDIA has released new products supporting that distributed model in a completely different way than they happened in the past over the summer. The orders that we have secured, among others, from so-called neo-scalers or neo-clouds, that is a very important thing to note in this report, because this new breed of companies, I'm going to come back to them in a while and explain what they are, are expected to be a really important piece of this puzzle in the future.â€¯  Also growing in that space that I just talked about, of course, the United States of America is an important market. And you can see now that the U.S. continues to drive our revenues as it has over some quarters and as I have been saying for the past 4 years or so. An interesting new thing in this report is that we are growing in all our business areas. That's another thing that's important to note, I think. And I'm super pleased that we see traction from the efforts that we have put into our business area, optical devices. I will come back to that, too.â€¯  Profitability is good. It is not quite where we want to be in the long term. We want to continue to push this upwards. But having said that, the last couple of quarters gives us an awful lot of confidence in our business model and what we are doing. And of course, continuing to invest, probably investing a little bit more than we initially thought, moving into the next year, is a good thing for us. So to capture the future. I want to remind you that in my job, all perspectives matter. This quarter matters, next quarter matters, but what matters most is the long-term success of the company, no doubt.â€¯  For the new audience, I want to take us one step back and talk a little bit about our product offering and the customers using our products to really give you a chance to pick up on the knowledge that we have tried to convey over the years. So what is it that we do? Well, we develop, design, manufacture hardware and software, and associated services to build network solutions that are transporting multiple terabits per second of capacity.â€¯  So, as you understand, this is not consumer technology. This technology is used for connecting data centers. It's used for connecting cities with each other. It's used to, as for instance, connect mobile base stations to the Internet or to the cloud or wherever it's going, rather than focusing on the consumer side of the network. So these are really the super backbones of the Internet that we are talking about.â€¯  Who buys that from us? Well, we categorize our customers into 3 customer segments. You see them top left on this slide. So, enterprises, this is a market that's kind of Smartoptics' home market. This is where we're coming from back in 2017, '18, '19 when we started off the new journey for the company with the new products and the new strategy. It was a large part of our business with enterprises building data center interconnect networks.â€¯  So an enterprise, whatever vertical have their data centers and wanted to outsource backup and security systems and so on to another location. That was the majority of the business. It's still a very important business for us. We're receiving orders every week from new customers in that segment. And as I said, it's really anything. We have a lot of healthcare, hospitals. We have a lot of manufacturing companies. We have trading companies. We have banks, we have government. Yes, everything really.â€¯  The second customer category here, network operators, is something that we started to develop products for in 2018, 2019. Why did we do that? Well, to build a business where our re-occurring revenue would be stronger. When network operators select the technology to work with, they roll it out over many years, and the volumes are much greater. We got success quite early on in this segment and started to roll out products already in '19, '20, and it is today the largest part of our revenue.â€¯ The second customer category here, network operators, is something that we started to develop products for in 2018, 2019. Why did we do that? Well, to build a business where our reoccurring revenue would be stronger. When network operators select the technology to work with, they roll it out over many years, and the volumes are much greater. We got success quite early on in this segment and started to roll out products already in '19, '20, and it is today the largest part of our revenue.â€¯  The third, which has been the smaller of the 3 segments over the years, that I expect are going to grow on the back of what I talked about on Slide #1 is cloud and AI. So really, the application here is the same as I talked about in the enterprise community. It is about connecting data centers to each other in major metropolitan areas. The difference here is that it's not 2 or 3 data centers, it's probably 3, 4, 5, 6 data centers in each metropolitan area.â€¯  We have global customers that have rolled this out over several years. When we last looked at it, I think this market segment was around 20% of our business, maybe 25% some quarters. We don't track this every quarter because we have so many purchase orders that we need to go through and look at the segmentation. So we do it typically once per year, and we'll come back when we report Q4 with a view on this. But I expect this to continue.â€¯  You heard me saying data centers there several times. And what's important to understand is that data centers is driving growth in all of these segments. When the hyperscalers are building infrastructure in a particular geography, new data centers popping up in any state, Texas, wherever, our operator customers are getting orders for capacity in and out of those data centers, and they are building new networks and modernizing the networks they have to support that growth, and that is across the whole planet. So data centers are tremendously important for our business.â€¯  So when we started this journey, we set out to be the low-cost alternative in this market, low cost by design, choosing the ASICs that drives down the cost, implementing the most modern of protocols and standards rather than supporting the whole legacy of telecom technologies that are out there. That was in our DNA, and it is still in our DNA. And the majority of the business that we have won over the years is due to that fact that we have been the cost-effective alternative compared to very large companies.â€¯  That changed about a year ago when customers started to come to us and say, we have selected to work with Smartoptics because your software platforms, you can see it down on the left corner here, and orchestration software for networks is so much better. The ease of use it offers is way ahead of your competitors, and the simplicity of managing traffic in the network as a for instance, exceeds all of your competitors. So that was a good day for me because this is a product that I have held dear to my heart for a very long time, and I believe it's going to be a key element of our offering from now on and all the way into the future.â€¯ So very important. Software is driving our revenue, too, and software is making us a more attractive partner for our customers. We have very low customer churn. This is something we also look at typically once per year. And when we do, we see that a very large part of our revenue, typically more than 50% of our revenue, is coming from customers that we had 4 and 5 years ago. And we're adding new customers every year and new partners. So very stable in that sense.â€¯  We have a global sales force, I should say, global with a pinch of salt because there are, of course, markets where we choose not to operate, Mainland China, Russia, and so on. Our sales force is spread across EMEA, Americas, North America predominantly, but also South America and parts of APAC, but certainly not everywhere.â€¯  A strong asset in Smartoptics is the global network of business partners that we have, reselling our products, distributing our products, taking in our products, rebranding them to their products, and so on. It's a wide range of business partners in here. The market that we are addressing, the global market for optical transport, is estimated to be around $16 billion. We are addressing a growing part of that $16 billion, meaning our products are suitable to be used for certain applications, but not all applications.â€¯  Typically, we are stronger in the metropolitan areas, in the regional networks, compared to the really long-distance networks, and especially things like subsea under the Atlantic or things like that. But we are developing our products. We have introduced an awful lot of technology into our products to sort of put us a little bit into that long-haul market, and we are winning fairly large networks now. I think the longest single network we have installed is in Mexico. It's about 1,300 kilometers, all optical without any electrical regeneration. So that's a pretty sizable network. So we're growing into that. And we've typically said that we address around $5 billion of those $1 billion, and I think that's growing day by day. So that was an overview of the company. I'm going to take you into the Q3 and look a little bit at the revenue before Stefan comes on and talks about the financials.â€¯  As I've already said, the U.S. is remarkably strong. The most important thing for me here is that we have had 2 strong markets, and now it seems like we're developing a third market that is meaningful, APAC. APAC has been growing very nicely from very small numbers over several quarters. Now we have more contributions again from Australia in this quarter. So we can see revenue jumping up a little bit. But that's good. APAC will continue to grow and will eventually become an important market for us.â€¯  Looking at this slide, I mean, the obvious thing that stands out is Americas. I will talk a little bit more about that on the next slide. Having said that, EMEA looks weak. I'm not so worried about EMEA. We have secured a couple of really nice projects in the quarter where we have really started to deliver hardware and software, but those are projects that will run over several years, build-outs of networks across Europe. We have a strong pipeline in EMEA with, yes, at least 5, 6, 7 really good projects that are multimillion-dollar projects that we are working on that will contribute to our 2026 revenue. So I think that EMEA will come back and will contribute nicely in 2026 and onwards.â€¯  Why are we so strong in America? And so, a little bit back to education here to talk a little bit about the customer segments. I talked about operators, I talked about enterprises, I talked about clouds. So over the past couple of years, we have developed a number of new verticals, new markets for us, new customer categories. And the 3 that I'm listing here have grown in importance for the company quite dramatically. And this is on top of the business that we are doing with enterprises and various other mobile backhaul, as an example, devices, and a lot of other verticals. I'd like to start by just going through what I think about these 3 segments and then give a little bit deeper explanation on at least one of them.â€¯  So regional operators is something that we have talked about in the framework of our large account strategy for several years. Today, we are servicing somewhere between 5 and 10, depending on where you set the revenue bar of customers like this in the quarter, and in past quarters, we're seeing three, four of them delivering meaningful revenue. These are accounts that will be with us for a very long time. They are constantly rolling out new bandwidth into the networks, and they have large networks. So this is, from a revenue standpoint, a very important piece of our business today and will be into the future as we continue to grow these types of accounts and continue to add more accounts like this as our customers. In terms of what they do, they have an awfully broad product offering to their customers. One should know that this is typically business-to-business, meaning that they are delivering bandwidth to enterprises, data centers, other operators, and so on, rather than to households, fiber-to-the-home, et cetera. And an important driver here are the data centers that are growing up like mushrooms all over the planet, cloud connect services. When a new data center is built somewhere, everyone in the area needs to get access to the content in that data center, and everyone will start ordering capacity into that. Data center to data center communication for the hyperscalers and others, et cetera. So large customers of our regional network customers are the hyperscalers. So very much an indirect drive from hyperscalers.  Good revenue contributor now and into the future. Neo-Clouds, Neo-Scalers, this is a new thing for most people listening to this. It's a new thing also for me since about a year ago when people started to talk about these types of companies. It's really a new class of cloud providers that are exclusively building their infrastructure based on NVIDIA GPU technology. They are offering basically GPU as a service. So for enterprises and whoever really needs to run jobs in a GPU cluster. So you have a couple of examples of the services that they do there. In what way are they different than the hyperscalers? Well, clearly, they are, they have a more narrow product set. They are not a one-stop shop for all cloud services, but they are specializing on this. I think another important distinction is that they are predominantly software companies having their algorithms and things like that as their core competence, meaning a company like us become a very relevant business partner. They will go out and look for best-of-breed, lowest possible cost ways to connect their data centers.  We have secured three of these now. Who are they? Well, there's many out there. If you Google who are the top 10 Neo-Scalers, you will find the three that I'm talking about on that list. Most likely, I'm sure there are several lists, but the ones that I've seen, all of them are on there. And we are working on a couple of more at the moment. So hopefully, we will continue to succeed here. It's going to be important for us to have a footprint in this world as it's expected to consolidate over the years. So being with the leaders here is going to be important to us. So really good potential, not necessarily super important for our revenue in the quarter, but really, really good potential.  The third market that I would like to talk about is the rural operators. Why do I want to talk about that? Well, it has potential. It's about 1,000 operators in the U.S. servicing communities around the country, typically in the rural areas, selling things like fiber to the home, but also services like mobile backhaul, middle mile, interconnect, data center to data center, et cetera. But their core existence is around servicing the population in rural America. There is 1,000 of them. We probably are approaching something like 5% of them being our customers. The important thing here is that this has potential to become yet another enterprise business where we every week get new multi-hundred thousand dollar orders from this community. And once you're in there, once you're servicing that community, there are many people to support, and we have really set out to focus on this community. That's important.  So this is where you see the government funding. It is in this market. Most people are familiar with BEAD, which is a CapEx program offered by the U.S. government to help them to build fiber infrastructure, electricity infrastructure facilities, data centers, and technology for servicing the community with broadband. BEAD is a big program. It's great for some, and it's not great for others. The feedback that I'm hearing about BEAD is that there is quite a lot of red tape around it. Once you step into BEAD, you have rules and regulations to comply with that they may not have capacity to work with. And the other thing is the fact that it is a one-time CapEx support. There are better programs for this community. One is the USF, Universal Service Fund, which is really a tax that all Americans are paying to fund this community. And that's long-term operational support for the rural parts of America. I would say all of these 1,000 service providers are getting government funding through the Universal Service Fund. It's been there for a very long time. So it's probably the more important of the two.  So to finalize, over and above where we have been, we have developed a number of new customer segments that have significant future revenue potential, where 1.5, I should say, are contributing also in this quarter significantly.  This is a slide that I'm very happy to present. It is how we are doing in our different product areas. Most of you who have followed us is nearly everything I've talked about up until today, up until now has been about solutions, software, and services. Those are two product areas that are nearly one-to-one 100% associated with each other. When we sell our solutions, we sell our software and services. We typically don't sell our software and services when we don't sell our solutions and so on. The difference between the two is, of course, software and services is a continuous service that people buy for many, many years. Some people do that with networks too, others buy project by project. So a little bit different pace on the two, but certainly talking about the same thing. The fact that those two are growing really nicely, not a big surprise. They have always done that since 2017, '18. That's also where we have made all of our investments up until, or rather the majority of our investments up until about 1.5 years ago when we said, look, we have this third product area, optical devices, where we are selling, we act as a very advanced distributor of some optical components where we have software to enable support for those optical components in a very broad application space. It's always been a great market for us. We receive several thousand purchase orders every year. We ship 300,000 products. So it has really been the stable piece in the early days, and it has always contributed with profitability. About 1.5 years ago, we said, look, we cannot have a situation where this product area is dragging down our growth. So we employed Mr. BjÃ¶rn Andersson to lead that product area for us with the intention to have it growing at the same pace as the company overall. And this quarter, it clearly is. So we're starting to see the product area business -- optical devices catching up and showing its potential. With that, I would like to hand over to CFO, Stefan Karlsson, to take you through some of the numbers. Welcome, Stefan.â€¯
Stefan Karlsson: Thank you, Magnus, and good morning, everybody. We see the revenue increased by 46.2% to SEK 19 million compared to SEK 13 million last year, and mainly driven by strong Americas sales with SEK 10.9 million compared to SEK 5.7 million last year. The gross margin amounts to 49.5 percentage points compared to 47.4% last year, and is related to product mix, and that we are seeing increased tariff compensation in the U.S.â€¯  The EBITDA was $2.4 million compared to $1.1 million last year, an increase by USD 1.3 million, of which $3.3 million is related to revenue increase and a slight margin increase. And then we have 1 million negative that is related to increased employee benefit expenses up to $4.8 million from $3.8 million, and that's driven by organizational growth of 8% from 124 to 134 full-time equivalents. We have an FX impact of 6% and inflation, and increased variable compensations due to positive development in sales.â€¯  Then we also have other operating expenses has increased by SEK 0.9 million, of which SEK 0.7 million is related to the uplisting to Euronext Oslo Bors, corresponding to 3.9 percentage points in margins in the quarter and 1.4 percentage points year-to-date.â€¯  The Q3 margin was then 12.6% compared to 8.3% last year. And excluding nonrecurring costs for the uplisting, the EBITDA margin would have been 16.5 percentage points in Q3 and 13.2% for the 9-month period of '25.â€¯  The operating cash flow in the quarter was negative SEK 0.4 million compared to a positive of SEK 5.6 million last year. And the big drivers to this is that inventory has increased with NOK 3.2 million in the quarter, and that's mainly due to longer lead time for components driven by increased global AI-related investments.â€¯We also see that trade payables has decreased with NOK 1.7 million in Q3 due to timing of the due dates. Net collections of trade receivables in Q3 improved the cash by NOK 0.8 million.â€¯  So, looking on the balance sheet, we have an equity ratio of about 55% compared to 59% last year, which is a result from a growing balance sheet. It comprises of noncurrent assets of NOK 8.8 million compared to NOK 7.7 million last year, and includes our new ERP of NOK 0.6 million that we will amortize over 5 years, and that we start to amortize now in Q3. Current assets is NOK 40.3 million compared to NOK 30.6 million last year, and it's mainly inventory and trade receivables. The cash is now at NOK 1.7 million compared to NOK 9 million last year and is down NOK 1.4 million from last quarter. We have available credit facilities of $7.5 million, equivalent to NOK 75 million. And we have increased focus on the cash and mainly inventory activities, and continued management of our trade receivables.â€¯  On the liability side, we have noncurrent assets of NOK 0.3 million compared to $1.2 million last year, and this is mainly lease liabilities. We don't have any long-term loans at the moment since all are due within the year. Current liabilities, excluding the deferred revenue, is $11.3 million compared to $10.6 million, and that's mainly trade payables, tax liabilities, and personnel-related expenses. Deferred revenue is $11.1 million compared to $7.5 million last year. And the increase is related to a stable high revenue share from the business area Software and Service, and our growing revenues.â€¯  The working capital is now SEK 18.4 million compared to SEK 13.3 million last year and is mainly driven by the revenue growth. Inventory is now SEK 20.0 million compared to SEK 14.6 million, and it was SEK 16.8 million in the last quarter. And it's, as I mentioned before, mainly driven by longer lead times on components. And the higher level of inventory is also, therefore, good for the short term to secure future sales.â€¯However, the goal is long-term to reduce the inventory over time. But despite these high levels, we are seeing a very low risk in inventory. Trade receivables increased to $19 million compared to $14.7 million last year, and is actually down from NOK 19.8 million last quarter. So we have good collections in Q3 and high sales in the current quarter that define that level. And we see no risk in our trade receivables.â€¯  Trade payables are NOK 6 million compared to $4.2 million, down from $77 million last quarter. And the lower level is related to timing of due dates of our liabilities. Net other short-term liabilities increased to $14.6 million from $11.8 million, and that's mainly related to the increase in the deferred revenue that is now, as I mentioned, $11.1 million compared to $7.5 million. There are also some small tax liabilities of $0.6 million included in this number.â€¯  Thank you. And back to you, Magnus.â€¯
Magnus Grenfeldt: Thank you, Stefan. All right. I just want to talk a little bit about how we see our future evolving, what big plans we have ahead. This is a slide that we released in quarter 2, where we thought that talking about the next 5-year period for the company is more meaningful than talking about a few quarters. And what we introduced back then was a couple of new growth drivers that you see on the right of this slide. Of course, focusing on our home markets, focusing on what we do, focusing on the stuff that I have talked about earlier today, is critical and will be critical going forward. We do not intend to abandon any customer segments at all, but rather build on what we have, pretty much as I explained earlier.â€¯  Having said that, committing to major accounts is something that we have started to do. And I'm not really talking about our large account strategy here. I'm really talking about how do we build a company that can service the largest customers on the planet. Those are typically Tier 1 operators and hyperscalers, and similar organizations.â€¯  So, building the backbone even stronger in areas like governance, IT security, and a broad range of areas is something that we have set out to do quite a while back, and we have come a very long way. We are scoring very high in things like EcoVadis rating and so on, but we want to continue to build a stronger backbone in the company.â€¯ That's really the key thing there to make us an attractive player for the largest accounts in the future, well underway. Expanding our efforts in new geographies, also well underway. We have a team in South America. We're winning business in Mexico, in Colombia, in Peru, and a few other spots in that market.â€¯ We have our first employee in Japan with us since a couple of months. We have employees in Malaysia with us now supporting our business there. We're making additional investments into Asia by moving more resources out there to be there locally to support our customers.â€¯ So, another area that is really well underway. Africa is also an interesting continent where we have started to do business predominantly in South Africa, Kenya, Namibia, and that area. But there are other places in Africa that are of interest and will be of interest going forward. Maybe the most important one here is the top right corner, where we're talking about AI and software automation. So, AI is many things to us, as I said. Maybe the most important one is the fact that it's driving demand for our products.â€¯But other areas include how can we incorporate more automation, more data streaming, and more AI into our product offering, not only to make our products more attractive as they are, our software platforms more attractive as they are, but also to start generating new revenue streams from that side of the business. This is something where we are early stages, but building our strategy and our plan.â€¯  The third area where I think AI and automation is important for us so look, when you are a company of our size, it is very easy to overdo the OpEx part of your business. It's very easy to start to see the need for various functions in the company that you previously, for instance, relied on partners, legal, HR, and whatever it might be.â€¯ And I think also on the operations side, we see those type of phenomenas happening. And we are, and I am committed to avoid that rat hole, to be perfectly honest. And our means to do that is to now heavily invest in software tools within the company. We want to create an AI company out of this. So, it's not only going to be a team of AI architects that we already have in place.â€¯But that knowledge, that competence is going to spread across all functions in the company to maximize the advantage of this. It's an opportunity that has never been there before to run efficient companies. But it requires software skills, and we have software skills. So, we are extremely well-positioned for that.â€¯  The fourth area that we talked about in Q2, I have kind of grayed out here, not to set any expectations, and that's M&A. We are interested in it. We talk to our customers predominantly about it because they are a good source, meeting a lot of people, meeting a lot of interesting companies, and they can help us. They can guide us to interesting conversations as we move forward.â€¯  But we have not created an M&A strategy. We do not know what we want to buy. We have a pretty good idea on what we don't want to buy, to be honest. And I think buying companies that look exactly like us. Well, first of all, there are no such companies out there so that would fit our profile, our modern software platforms, et cetera.â€¯  So that's probably a no-go, but it's going to be something relevant to expanding our technological footprint. We will see what that is. When the time comes, we will talk more about it. We will probably zoom out of this for a while now and focus on our organic growth because, as you can see, it's working really nicely. We have the ever-growing demand for bandwidth behind us or around us.â€¯We have AI, the AI infrastructure investments going on around us. We don't really need M&A at this point, in my opinion. So where do we want to go?â€¯Well, we talk about market share because it's more interesting to me than to talk about a specific number. But the way you should read these numbers is we're in a growing market.â€¯And as you can see, the piece of the market that we measure ourselves against, those SEK 5 billion or so that I talked about earlier, is foreseen to grow by about 6% every year. We will see what happens with that. Maybe it will grow faster. I don't know. The future will reveal that.â€¯  In that market, we want to double to triple our market share, and that means probably triple to quadruple the company. We want to do that maintaining our profitable growth ambitions, and we want to scale back to where we have been for quite a number of years in the history of the company, targeting EBIT levels of 13% to 16%. Having said that, we are done for today with the reporting, and I'll be happy to take questions. Do we have any questions in the room?â€¯
Stefan Karlsson: Good. Then we have Christoffer BjÃ¸rnsen from DNB Carnegie on the call.â€¯
Christoffer Bjørnsen: Congrats on the great quarter, exciting times. I think just can we start off on the comment you made that you've seen now some initial order momentum with the Neo-Cloud part of the market. Maybe kind of you already touched upon it, but I came in a bit late here. Just expand a bit on like what the size of this opportunity is and how we should think about that into next year and so on.â€¯  You kind of previously had a target of reaching $100 million of revenues for '25 or '26. You kind of then left that target, but now it seems more profitable, I guess, at least for '26. So, I guess, start with just like your thinking around this whole dynamic and what it actually means for you guys. It's kind of new.â€¯
Magnus Grenfeldt: Sure, Christoffer BjÃ¸rnsen. Absolutely. May I just first clarify, we never left that target. What we said was it's not meaningful to run a company with that target. It is simply too low. That's the reason why we don't talk about it. And I've said for the past 4 years that the opportunity is there to reach it. So, within the time frames that we have talked about. So, we'll see if we reach that old target or not. What matters to me is the new target and the momentum that we have in the company when we reach that target.â€¯  So, having said that, what is the potential with the Neo-Clouds and Neo-Scalers? And my answer is I wish I knew. This is a new market. It's a new breed of companies. It's completely new services that are offered, basically GPU as a service to simplify things a little bit. What the potential is, we shall see. I said that they are not super critical in our revenue in the quarters. I think to date, we're probably done 1 million or 2 million with that segment.â€¯ But listening to peers in the market, listening to industry analysts, clearly, they are seen as a new breed with really good potential. There are several of them. I said Google the top 10, and you will find the three that we have done business with. But those top 10, there is a long tail of other people who are entering into this business now. So I'm kind of expecting, based on what I'm hearing from the industry, that we will see consolidation in that space. We will see some people really succeeding, blowing the roof off of the expectations. We will see some people probably not succeeding to the same extent. So I will have to come back to that. And I think we will probably know in a year or two what that market really looks like.
Christoffer Bjørnsen: And then following on with another question on this dynamic ish, I think is, as far as we understand, one of the secrets of your success as a business, especially in the device business is how you've been able to make your, let's call it, third-party optical pluggable interoperable with more complex, bigger systems from some of your competitors in terms of how you program these transceivers. So can you just expand a bit on what kind of moves you made there in the last half year or so, if you added any interoperability with new systems from anything that's relevant to the Neo-Cloud and so on?
Magnus Grenfeldt: Specifically in the device business, yes. So what moves have we made? Well, we -- I mean, it's basically a very large part of what you're talking about is happening in our partner community, where we provide the software and the manufacturing environments and the products for them to go and do this business. What have we done? Well, I would say on the optical device side, we have a punch list of probably 10, 15 areas that we are now to varying degrees done or on our way to improve. And of course, our manufacturing environments, software platforms for doing what you described, is one important element of that. When it comes to supporting new technologies, I'd say obviously, a new thing since a couple of years or sorry, since the last year or so is support for 400, 800 gig in NVIDIA platforms and things like that, and we are supporting that right now. I should say also that the Neo-Scale business, the Neo-Cloud business that we have done is not on the optical device side. It is on the solutions software and service side. It is data center to data center networks that we have delivered to them. So it is unrelated to business area optical devices, where we have thousands of customers across the planet.
Christoffer Bjørnsen: So you're saying is that you have, over the last year or so, you've gone from not having interop with the NVIDIA ecosystem to now supporting it?
Magnus Grenfeldt: Correct.
Christoffer Bjørnsen: And given that devices haven't really seen any momentum in that area as of yet, that's kind of an untapped potential. Is that the way to read that?
Magnus Grenfeldt: To an extent, yes. I mean the optical devices is broad, right? I'd say the lion's share of what we do is going into enterprise for general-purpose applications, some of it going to operators as well, of course. Data centers is a potential that we are going to work with, yes.
Christoffer Bjørnsen: Okay. And then finally, from us, I guess everyone saw the news yesterday, last night that NVIDIA is taking a stake in Nokia. And I guess this is kind of resonating well with what we're hearing from industry sources that you're expecting that these AI workloads for latency purposes have to move closer to the edge. So people are talking about like it seems with Nokia and NVIDIA today, you'll have AI workloads running basically wherever there is a base station. Could you talk a bit about the implications for your business if this is kind of -- could potentially drive a new refresh or CapEx cycle among telcos who have prior to yesterday, planned to cut CapEx rather than grow it?
Magnus Grenfeldt: Yes. So I mean, edge, AI, and that whole thing, I think, and I have to caveat here, I am not an expert at 5G, 6G technologies at all. But I think that from history and what we've seen over the years, 5G never really rolled out in the way that the big providers said it would. The importance of the applications that were talked about in 5G being predominantly low latency for real-time applications, slicing of the network, meaning quality of service, I mean, basically giving more priority to certain amounts of bandwidth for certain applications. All of those things, I believe, that AI could be the thing and edge AI, in particular, that really unlocks that whole opportunity. It could be the reason why we will see 5G becoming what it was supposed to be and 6G rolling out over time. I would recommend you listen to Ericsson and Nokia. They probably have a stronger view on that, but that would be my 0.5. Meaning, yes, what is the consequence for us, of course, Christoffer? So that means more mobile backhaul services, a faster adaptation of 100 gigabit technology to the base station routers, meaning more business. So coming back to whatever growth is good for us.
Stefan Karlsson: We have a question on the portal as well from Daniel Albin. Are you able to scale up production with your EMS suppliers, or could that be a bottleneck?
Magnus Grenfeldt: No. Our EMS suppliers, I don't think will be a bottleneck. We are with Kitron right now. It works really well for us. There are many alternatives if we, for some reason, would exhaust that relationship. So yes, moving around between the different EMS is absolutely feasible. We have no plans to do it. Kitron works great for us. But they are not the lowest-cost player out there. So we'll see. But for now, good, and I think Kitron is a great company. They have very good capacity. So that will work. What they do for us is things like circuit boards with standard components and mechanics, and all of that. Then we have our own production where we do the optical pieces of our products. I think we have great capacity in there, and we have ability to scale it way beyond where we are right now. So I'm not worried about that either. Of course, Stefan talked about our inventory. That is to a large extent, optical components with very long lead times. So I'm super happy that we are where we are now, having this inventory on stock that is more important than having a lot of cash right now to be able to support our growth. So no big concerns there, but certainly an area that we need to monitor.
Stefan Karlsson: Oystein Lodgaard from RB has also joined the call.
Øystein Lodgaard: Good morning and congrats on the super strong results. A couple of questions. Starting with the gross margin. You're winning now, of course, large deals with large customers. Do you see that leading to some pressure on gross margins that you have to give away bigger volume discounts? Or do you think that you'll be able to maintain margins around the current levels?
Magnus Grenfeldt: If you buy the current levels, mean the range that we have been operating at for the past couple of years, then I would say, yes, absolutely. Are we offering better discounts to larger projects to win market share? Yes, absolutely. And it generally takes a while before we work back to the levels where we are now. But I would say in the broader perspective, I think the answer is yes. I would like to reiterate what Stefan said. If you compare Q2 and Q3, an important element of that is the tariff compensation, meaning when we charge tariff to our customers as a line item, for some customers, we have just lowered the discount or raised the price. But for some customers, it's worked better to charge tariffs as a line item. And we're seeing that we are simply better at that in Q3 than we are in Q2.
Øystein Lodgaard: And you've quite, also I think, increased the range of your products also lately. If you can kind of now maybe discuss whether or not you are, you have products that are capable of doing kind of more long-haul type of projects. Does that kind of expand the addressable market for you? Do you see opportunities outside of kind of the core metro segments with these new products?
Magnus Grenfeldt: Yes. The answer is yes. And I think it's very relevant for the group of customers that I talked about, the regional operators in the U.S. So if you are, as for instance, building a network across Texas, you need high performance on the products, and we can offer that performance now. We are modeling networks that are spanning the northern peak of Scandinavia down to the southernmost peak of Scandinavia, that's 2,000-plus kilometers with 400 gig signals traversing our networks all optically with no problems. So the performance of our products, which really started with our 34-degree ROADM technology a few years back, and now we've added things like Raman amplification to the product portfolio, the performance of our products is great at the moment. And yes, we can build a much bigger network. It is very much in line with what we have been talking about all along, expanding our addressable market.
Øystein Lodgaard: Last question. Maybe this has been answered. I was a bit late to the call, but just thinking about costs going into 2026, can you say something? Do you expect to continue to invest at kind of the same level that you have done this year in the last couple of years into 2026? Or do you see kind of the scale benefits from the investments that you have made? Or how should we think around that?
Magnus Grenfeldt: I think you should continue to think about it in the way we've talked about it. Our clear ambition, target goal, whatever is to grow our revenue faster than we grow our OpEx. Having said that, and I think you also should factor in what level of efficiency we can achieve over the coming years on our tools development for internal use. But I think at the moment, not continuing to invest would be foolish. There is a great opportunity out there. It's going to be there for a very long time. So we will continue. Most recently, we've added two new sales teams in America, as an example. And I think that's the right strategy to continue now and to do a little bit more than what I probably would have said a year ago.
Stefan Karlsson: Okay. That was the last question.
Magnus Grenfeldt: Then thank you very much. Have a nice day, and welcome back in three months.